Operator: Greetings. Welcome to the Aehr Test Systems Fiscal 2025 First Quarter Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Jim Byers at MKR Investor Relations. You may begin.
Jim Byers : Thank you, Operator. Good afternoon and welcome to Aehr Test Systems’ First Quarter Fiscal 2025 Financial Results Conference Call. With me on today's call are Aehr Test Systems President and Chief Executive Officer, Gayn Erickson, and CFO, Chris Siu. Before I turn the call over to Gayn and Chris, I'd like to cover a few quick items this afternoon after market closed. Aehr Test issued a press release announcing its first quarter fiscal 2025 results. That release is available on the company's website at aehr.com. This call is also being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of Aehr's website. I'd like to remind everyone that on today's call, management will be making forward-looking statements today that are based on current information and estimates and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. These factors that may cause results to differ materially from those in the forward-looking statements are discussed in the company's most recent periodic and current reports filed with the SEC. These forward-looking statements, including guidance provided during today's call, are only valid as of this date and Aehr Test Systems undertakes no obligation to update the forward-looking statements. And now I'd like to turn the conference call over to Gayn Erickson, President and CEO.
Gayn Erickson : Thanks Jim. Good afternoon everyone and welcome to our first quarter fiscal 2025 earnings conference call. Thanks for joining us today. Just as a heads up, we do these live and I managed to have a cough with a little bit of a tickle, so I don't think I'm going to be able to get through with -- all of this without coughing but if I'm good I'll hit the mute button and you won't catch them, but I apologize if I cough in the middle here. I'd like to start with a quick summary of the highlights of the quarter and spend some time giving an update on what we're seeing across the key markets, areas addressing for semiconductor test and burn-in, including increasing traction in some new markets. I also plan to spend a little time on our latest expansion in the burn-in market with our acquisition of Incal Technology this last quarter. Then Chris will go over the financials in more detail and after that we'll open up the lines to take your questions. We finished the first quarter with revenue and non-GAAP net income ahead of consensus estimates and are off to a good start to our fiscal year. Silicon carbide wafer level burn-in test systems and full wafer contactors are poised to be a key contributor to revenue against this year. But we're also forecasting material bookings and revenue contributions from several other markets this fiscal year, as we're successfully executing on our strategy to expand our test and burn-in products into other large and fast growing markets such as artificial intelligence processors, gallium nitride power semiconductor, hard disk drive components, and flash memory devices. My plan is to cover each of these markets beginning with the wafer level test and burn-in for silicon carbide devices. We've been seeing a stabilization and increasingly positive discussions within the silicon carbide power semiconductor market over the past quarter. The silicon carbide market continues to feel like a typical new technology adoption cycle, which often starts with early enthusiasm and rapid growth projections from early adopters, followed by a period of adjustment and slower growth, and a bottoming of that growth before higher growth resumes to new highs. Electric vehicle suppliers are clearly moving towards silicon carbide and integrated modules, combining silicon carbide MOSFETs into single packages to meet the industry's power, efficiency, and cost-effectiveness demands. Some EV suppliers are shifting to integrated modules, contain up to 32 or more devices in a three-phase inverter module. Due to the need for extensive test and burn-in of these devices to ensure reliability for mission-critical applications such as EVs, the benefits of conducting the screening at the wafer level before integrating them into modules are very clear. The process improves yields, reduces costs, and this is driving demand for wafer level burn-in, an area where Aehr Test stands as the low-cost leader and proven solution for this critical testing. In recent weeks, Aehr has presented at several industry shows, including the PowerUp Conference in Italy three weeks ago, as well as the ISES Power Semiconductor and the ICSCRM conferences in the US over the past two weeks. The overall message from these conferences is that EV manufacturers are standardizing on modules with some even moving towards entire integrated inverter systems supplied by the semiconductor companies themselves instead of the traditional tier 1 suppliers of the past who served as a middleman. The key takeaway from these trade conferences, as well as conversations with EVs, auto OEMs, is the critical importance of the testing and burn-in process to eliminate early life failures that would otherwise occur once these devices are integrated into inverters or full drive units in electric vehicles. Silicon carbide suppliers have varying opinions and standards when it comes to quality, leading to significant shifts in market share as some suppliers struggle to meet the integration and quality demands of EV manufacturers. For Aehr, this presents a positive opportunity as the market shifts towards suppliers that are capable of delivering integrated systems and high quality products. We're making steady progress on our previously announced benchmarks and engagements with new silicon carbide device and module suppliers. We're confident that we will add several new silicon carbide customers this year, establishing our solution as their tool of record for volume production. Additionally, silicon carbide is gaining traction in applications beyond electric vehicles, such as solar, industrial, and data centers, which will expand our addressable markets. We're highly optimistic about our silicon carbide business and expect it to gain momentum over the next few quarters. Our silicon carbide customers are forecasting capacity expansion needs in calendar 2025 with several anticipating purchases of one or two systems in early 2025 followed by production volumes in the second half of the year and ramping further into 2026. Separate from incremental system capacity increases, we continue to see strong demand for our Fox WaferPak full wafer contactors for silicon carbide and other markets for our installed base of FOX-XP and FOX-NP wafer level test and burn-in systems, driven by a record number of new device designs started this past quarter. These designs are expected to lead to additional WaferPak purchases for engineering qualification, as well as to volume production orders as they advance to production. We had another solid quarter for WaferPak sales generating over $12 million in revenue from WaferPaks alone in the first quarter. Now let me move on and discuss our progress with test and burn-in -- in gallium nitride power semiconductors. We're now in negotiations with our first gallium nitride customer, or GaN customer, for volume production wafer level test and burn-in of their devices. We've been working closely with them and over the past year they have purchased and we have delivered a significant number of WaferPaks to successfully qualify a wide range of GaN device types aimed at multiple different markets, including consumer, industrial, and automotive. In addition, we had increased discussions and engagements with multiple potential new GaN suppliers about their needs. The data collected from multiple GaN companies shows that these devices will need burn-in to meet the requirements of many of the markets they're targeted for, particularly industrial and automotive applications. We believe GaN is a significant up-and-coming technology for power semiconductors. With a forecasted compound annual growth rate of more than 40%, to over $2 billion in GaN devices sold annually by 2029, GaN has the potential to be a significant market opportunity for Aehr's wafer level solutions. It's also interesting to note that several of our current and prospective customers, value the fact that Aehr can provide proven test and burn-in capabilities that successfully address both silicon carbide and the GaN devices. The testing of each is quite different. However, we can address the requirements of each market with the unique proprietary features and capabilities in the same system on our FOX platform. We continue to make investments in our platform with new capabilities and enhancements that enable us to provide value to these customers, expand our markets, and maintain our leadership position as a low-cost proven solution. So moving on to the artificial intelligence processor market. Last quarter we announced that an AI accelerator company committed to evaluating our FOX solution for wafer level test and burn-in other high-power processors. This evaluation is very far along at our Fremont facility where multiple wafers are being tested using our proprietary WaferPaks and new high-power FOX-XP and NP systems which provide up to 3,500 watts of power delivery and thermal control per wafer. We are delivering over 2,000 amperes of current to a single 300 millimeter wafer, allowing us to burn in a large number of processors in parallel with our proprietary test modes. This company is working closely with us to be able to use the FOX-XP system for wafer level production burn-in of their processors, which would prove to be more cost effective and significantly more scalable than doing the screening later in their manufacturing process. We think this presents a significant opportunity to displace the current package and system level tests for AI processes for large language model development and we believe we can meet this enormous challenge with the current capabilities of our new high-power FOX-XP system. This evaluation is progressing very well and once we demonstrate successful wafer level test results and throughput, we anticipate they will adopt our high-power FOX-XP systems for production of their next generation AI processors beginning this fiscal year. As we've noted before, based on the production forecast, we believe they could potentially be more than a 10% customer for us this fiscal year alone. Turning to our acquisition of Incal. During the quarter, we announced and completed our acquisition of Incal technology, expanding our product portfolio to include Incal's highly acclaimed packaged part reliability burn-in and test solutions, particularly its ultra-high power capabilities for AI processors, GPUs, and high-performance computing processors. These advanced high-power capabilities, combined with Aehr's industry-leading lineup of wafer-level test and reliability solutions, position us strongly to capitalize on the significant and rapidly growing opportunities in the AI Semiconductor market. This acquisition greatly expands our addressable market, enabling us to provide a comprehensive turnkey solution for reliability and testing from engineering to high volume production, to the rapidly growing AI semiconductor market. We're excited to bring the combined strengths of both companies to market as we begin engaging with Incal's customers, including many AI industry leaders. Customer feedback on this acquisition has been overwhelmingly positive, with several meetings held over the past few weeks where some customers indicated increased forecasts for engineering qualification, as well as for volume production. Last month, we were pleased to announce the first volume production orders for Incal's new Sonoma ultra-high-power semiconductor test and burn-in solution for test of AI processors. These orders were placed by a large-scale data center hyperscaler that provides computing power and storage capacity to millions of users worldwide today. We've also had many customers express interest in Incal's medium power Tahoe system, which is being used today across multiple market applications for both qualification and volume production. This includes multiple medical companies that use the Tahoe system's special capabilities for production test and burn-in of devices in a critical medical device application. This speaks to the special capabilities of these systems and the quality of their hardware and software to meet the critical traceability requirements of the US Food and Drug Administration. The integration with Incal is progressing well, and employees from both companies have been very positive about the combination. We have already shipped several systems since the acquisition, and with Incal being just down the road from us, we plan to consolidate personnel and manufacturing into Aehr’s much larger Fremont facility by the end of the fiscal year. As we've mentioned before we're underway with an upgrade and remodeling of our Fremont headquarters this year, in fact right now, and are ensuring our facility infrastructure meets the needs of both companies. So turning to the hard disk drive market, last quarter we also announced a key customer in the hard disk drive space that is now forecasting a production ramp up starting this fiscal year for a new high volume data storage device application. This customer is finalizing their capacity requirements and we expect this ramp to drive orders for multiple FOX-CP production systems and WaferPak contactors with shipments likely occurring in the second half of this fiscal year. As we've noted before, they could even be a 10% customer for us as well. As some of you may recall, this is a major customer that we announced in 2019 pre-COVID that purchased our FOX-CP, our single wafer test and burn-in solution for wafer level test and burn-in their devices in this very high volume application for enterprise and data center market. We see the data storage market along with various devices supporting the global 5G expansion as new growth opportunities for our systems, as these markets require devices with exceptionally high levels of quality and long-term reliability. And lastly, let me talk about the NAND Flash Memory Market. We're excited about the ongoing progress of our benchmark with a leading flash memory manufacturer we announced last quarter. This benchmark is aimed at assessing the potential of our FOX-XP solution for wafer level test and burn-in of their flash memory devices. This evaluation focuses on providing 100% test and burn-in for devices intended for high reliability applications such as enterprise storage. We're currently developing a new high-pin count fine pitch WaferPak that can support flash memory requirements but can also support DRAM testing, should customers choose to pursue DRAM burn-in in the future. Our objective remains to complete the proof-of-concept by the end of this fiscal year, positioning us to secure a commitment from this customer to develop a production test cell with the potential to contribute to revenue in our fiscal 2026, which both -- begins next June. As I've noted before, we believe this is the front end of an exciting and potentially enormous opportunity for our solutions and we see the NAND flash market, as a key market opportunity with long-term potential to also move into DRAM wafer level test and burn-in. With all these customer engagements, market opportunities and the products to address them, we're very optimistic about the year ahead, and we are reaffirming our financial guidance for revenue growth and profitability for the year. With that, let me turn it over to Chris before we open up the line for questions.
Chris Siu: Thank you, Gayn. Before I turn to a review of our financial results, I'd like to note that over the past 12 months, Aehr has invested financial and human resources in improving our own infrastructure to support the continued growth of our business. We recently went live with a new enterprise resource planning system in September. That will provide more sophisticated functionalities and capabilities to support decision-making and compliance. We expand our policies and procedures in various functions to provide more internal control and structure. We have made improvements in our supply chain and engage with contract manufacturers that offer more value-added quality components and services to support our growth. I would like to thank our teams for their dedication and strong execution. With a more robust infrastructure in place, we're more ready than ever to support both our organic and inorganic growth. Also, as Gayn noted, the integration of our Incal acquisition, which closed on July 31 is progressing well. Our plan is to consolidate personnel and manufacturing into Aehr Fremont facility by the end of the fiscal year, with the upgrade and the remodeling of our Fremont headquarters underway. We are ensuring our facility infrastructure meets the needs of both companies. Now turning to our Q1 performance, which included one month of financial results from the Incal's acquisition. Our Q1 results exceeded analysts' consensus on both the top and bottom-lines. Under the current challenging market and macroeconomic environment, first quarter revenue was $13.1 million, down 36% from $20.6 million in Q1 last year. Demand for our WaferPaks contributed to the majority of our total revenue in the first quarter. WaferPak revenues came in at $12.1 million and accounted for 92% of our total revenue in the first quarter, significantly higher than 55% of the prior year's first quarter revenue. WaferPak revenues continue to represent a significant recurring revenue stream for our business. As our customers continue to utilize the available installed base of FOX-XP systems for new customer design wins, and purchase additional new WaferPaks from Aehr to test and burn-in these new devices. Non-GAAP gross margin for the first quarter came in at 54.7% compared to 48.7% year-over-year. The increase in non-GAAP gross margin was primarily due to favorable product mix of higher margin WaferPaks. Non-GAAP operating expenses in the first quarter were $5.5 million, essentially flat compared to $5.4 million in Q1 last year. We incurred income tax expense in Q1 and our effective tax rate was 18.9%. Non-GAAP net income for the first quarter, which excludes the impact of stock-based compensation, acquisition-related costs and amortization of intangible assets acquired through the Incal acquisition was $2.2 million or $0.07 per diluted share for the first quarter compared to non-GAAP net income of $5.2 million or $0.18 per diluted share in the first quarter of fiscal 2024. Our backlog as of Q1 was $16.6 million. Now turning to our cash flows and the balance sheet. We generated $2.4 million in operating cash flows in Q1. Our cash, cash equivalents and restricted cash were $40.8 million at the end of Q1, down from $49.3 million at the end of Q4 last year, resulting from the $10.6 million of our cash on hand used to fund the acquisition of Incal technology during the quarter. We have 0 debt and continue to invest our excess cash in money market funds. Interest income earned during this high interest rate environment was $681,000 in the first quarter, up 17% from the second quarter last year. Our previous S3 registration statement, which was filed in September 2021 expired recently. Since we did not sell any shares through the ATM offering during the open trading window in August, about [$42.7 million] (ph) of ATM debt could have been sold under the previous S3 was not utilized. As part of our good corporate governance practices, we plan to file a new S3 with the Securities and Exchange Commission soon to support potential future financing needs. Once approved, the new S3 self-filing will be good for three years. Now turning to our outlook for the current fiscal 2025 that ends on May 30, 2025. As Gayn mentioned, we're reaffirming our previously provided guidance for the fiscal year of total revenue of at least $70 million and net profit before taxes of at least 10% of revenue. We expect approximately 85% of our forecasted annual revenue to come from wafer level burn-in and around 15% from packaged part burn-in driven by our acquisition of Incal. Lastly, looking at the Investor Relations calendar, Aehr Test will meet with investors at the LD Micro Main Event in Los Angeles on Tuesday, October 29, and then the following month we will participate in the Craig-Hallum Alpha Conference in New York on Tuesday, November 19. Then on Tuesday, December 17, we are heading back to New York City to attend NYC Summit. After the New Year, we participate virtually at the Needham Growth Conference on Thursday, January 16, 2025. We hope to see some of you at these conferences. This concludes our prepared remarks. We're now ready to take your questions. Operator, please go ahead.
Operator: Thank you. At this time we will be conducting question-and-answer. [Operator Instructions] Our first question comes from Christian Schwab with Craig-Hallum. Please proceed.
Christian Schwab: Hi. This is Christian. Gayn, so can you -- on the silicon carbide, the additional commentary about getting two additional customers this year. Are these customers that you've been working with in the past? And alongside that, can you give us an idea of how you would anticipate that ramping in near term and then over time? I mean, could they become as material as your current largest customer in silicon carbide.
Gayn Erickson: Okay. Sure. Yes, it's actually some of the same old story of some of the folks that were -- we anticipated would have bought their first systems last spring really. That we're now -- basically, the ramps and decision time lines have pushed. So I'd say 2 or 3 of those are actually sort of the same guys that's just kind of a year later. But there is also 2, I think in our forecast anyhow or high likely to forecast that are -- were not anticipated last year that have come online over the last -- we've been working with them over the last, say, three to six months, engaged in paper benchmarks and other financial things that are also looking very good. So I wouldn't ask you to go say I'm going to win 6 new customers, but there is the potential for it. The interesting thing is what it feels like from probably their end markets, why they all feel similar is everyone seems to be talking about putting like first tools in place, somewhere between the end -- literally at the very end of this year till I don't know, spring time frame to maybe May, kind of within our fiscal year, which we think that wind feels like it's maybe one or two systems. And then they ramp into the fall based upon a number of the EV data center, even maybe some potential solar wins that are driving capacity by that time frame. And that aligns with the physical buildings. One of the things that was going on about a year ago is there's sort of this excitement. I'll use that word around how fast everything is going to be adopted. I'm looking at a land of dirt, and it's like that building is not going to ship MOSFETs next year. I don't know what people are thinking, but it's too aggressive. Now the forecast seem to align with the physical buildings with the OEMs that are describing which cars they're going into, et cetera and are still forecasting those cars moving forward. And this includes OEMs that include China, other Asia, Korea, US and particularly European suppliers. So I hope that helped to explain it.
Christian Schwab: I guess it still wasn't clear to me five of your potential or six potential customers, can you give us like real color --.
Gayn Erickson: Yes, the size. You're right. I forgot to say that. I didn't -- I actually didn't mean to drop that. So I would say one of the things that -- and you heard it in my prepared remarks, it's very -- and I have been constant at these public conferences. Vernon has been asked to speak as well. We have tested enough wafers. I mean we've tested more silicon carbide customers' wafers than anyone by far to where we have a huge cross-section of data, and we just simply make the statement that if you want to do automotive quality down to sub-part per million failure rates of these things, you need to do an extended burn-in, not just a simple screen that's measured in ours. And I would say that each of the customers that we're talking to right now, that's what they're saying. They're all talking about these extended multi-hour 6, 12 plus even up to 24 to begin with our burn-in times that would be consistent with the automotive guys, and it's been repeated by the OEMs as a critical requirement. So with that, you can do the same modeling that we did before, which is, okay it's a wafer fab. It has 4,000 wafer starts per week, let's say, or whatever it is and you multiple -- you say it's got, say, 6 or 12 or 18-hour burn-in time and 18 wafers. So these are customers that have the potential to buy significant volumes perhaps even as big as our biggest customer to begin with. We also believe that our largest customer is doing extremely well in the market and is going to grow substantially, both in capacity and design wins over the next several years. So they seem to be doing very, very well in the market.
Christian Schwab: Okay. I guess this is my second last question. On the AI processor opportunity, I know last quarter, you highlighted, of course this is not in that you're dealing with. But can you give us any type of color there given a 10% customer is fantastic, that's only like $7 million worth of sales. Some kind of thinking that, that should be a much more substantial number than that over time. But maybe you can give us a little bit of color of the open-ended opportunity there.
Gayn Erickson: Yes. So we can track the units. We understand the test time. The test times processors are quite long. We know it's 100% burn-in. And we know and can track failures and see what's going on and there are some interesting tricks and things that are being -- that are going on there. So the data is all supporting the capability and feasibility of doing wafer-level burn-in. And we can see -- and now candidly, through the Incal acquisition where we are testing a large number of AI processor, you can see what they're testing and why they're testing it. No one's getting out of burn-in of AI processors anytime soon. So we're -- we haven't given any more color related to which of the processor guys it is. We have said -- we did simply said it's not NVIDIA because it just would be unfair to throw that around and how people imply that. But it’s a revenue-generating AI processor company today, okay? And it is certainly -- it's currently different than any of Incal’s customers. That doesn't help you because I haven't told you who they are either. But we've actually had 1 -- in one of the conversations we had with one of the Incal customers that are currently testing AI processors on their systems. They lean forward and we're super interested to hear more about our wafer level burn-in, which is not a surprise to us. And so I think that there'll be a mix, and we're not picking sides. There is some real advantages of moving the AI processor and ultimately, the DRAM to wafer level. But there's also some real challenges with it depending on customers and test modes, et cetera. And so we can serve them with the package part burn-in capabilities of Incal. But everybody -- I mean most people have heard the story, go back and listen to it. Our whole strategy has been that with this massive increase in semiconductors that are, in fact getting less reliable, showing up in more applications where reliability matters and then people putting them on multi-chip modules, it's a huge opportunity for test and burn-in particular for wafer level. I noticed that today, just AMD introduced what MI325X. Did you see it? It looks like it is 8 core processors and another 8 stacks of HBM memories. What happens with one of those core processors dies and burn-in. So the value proposition concept of moving it from package to wafer totally still makes sense, but now we also have both. So a little pitch for us as a company. And I can tell you, I know I use that phrase, if you've heard me, I usually like to say, we have a front row seat. Guys, we have the front row seat. This is -- I have sat in meetings in the last four weeks to six weeks, with some of the names of the names and hearing about their requirements and their actual processor we are testing, the next gen, the one after that, we are engaged with them to deliver their requirements, they're very excited because of our capabilities in thermal, our engineering capabilities, our manufacturing capacity capability, and our application support around the world. So very excited about it, and I think there will be leverage in both directions. I know we can already use some stuff from Aehr to make Incal's products better. And I think there'll be opportunities for customers that are using Incal that may want to do a wafer-level burn-in step as well from us. So I couldn't be more excited about this, and it's super fun. Thanks Christian.
Christian Schwab: Great. You bet. No other questions. Thank you.
Gayn Erickson : Okay, thanks. Operator? We caught him sleeping, hello?
Operator: [Operator Instructions] The next question comes from Jed Dorsheimer with William Blair. Please proceed.
Jed Dorsheimer: Hi. Yeah, thanks for taking the questions, Gayn and Chris. I guess first question Gayn. Thanks for the clarity. And Chris, thanks for the breakdown for the year. On the Aehr business, I haven't seen previously you would press release wins. And I know that you did on the WaferPak that kind of flowed through this quarter. But I was wondering, in the $16 million of backlog, could you give any further detail in terms of the contribution of mix there as we haven't seen any press releases that -- to get an idea of what that constitutes. Thanks.
Gayn Erickson: Yes. I'm going to take a pass on that right now. I get it, Jed. I understand. We haven't -- in fact, for those -- someone had to have noticed, I think this is the first quarter in eight quarters, we didn't do the effective backlog. I don't know if everybody else noticed. We're really struggling with that. We kind of cornered ourselves here in that the only press release we did this quarter was the Sonoma production system, right? And we quantified it. We said it was six systems. Then as we went to look at the backlog and the breakdown, it was like, oh, it highlighted too much you can imply that most of the backlog -- the incremental sales in the month were from that. And so we just chickened out and said, we're not going to say it because we simply don't want to triangulate and give precise data to our competitors to their competitors, et cetera, because actually in the industry, people sort of figured out who it was. So I apologize for that. But specifically in the Aehr business, if you will we have been -- material orders we have been press releasing. The materiality is kind of increasing, as we've been getting more and more WaferPak orders coming in that don't seem to press release out of that. We're still trying to balance that. I would consider any new production wins, as we are forecasting material and we will announce it. Again, we'll either typically give you a price and be vague about the quantity or give you the quantity and be vague about the price just sort of as a process rule. But I will share that actually a reasonable chunk of that backlog is from Incal. And Incal's forecast is looking, I'll call it, in the bag if and with a reasonable amount of upside we'll see as we get closer. But they have much longer lead times than us. We'll probably tighten that up a little bit, but they typically have about a six month lead time. And so everything for this quarter is in backlog, for example, in fact some of the next quarter is already in backlog for those guys, whereas Aehr tends to run much shorter lead times and the result of that is you have a little less visibility. And I think they're probably better off than us, but the customers do like our short lead times.
Jed Dorsheimer: Got it. That's helpful. I guess maybe, and I know you don't want to give more, but let me just ask it anyways. If I look at the WaferPak, which was all of the product revenue in the quarter, do you see a more balanced in this current quarter? Is it more balanced with respect to system leaving Incal aside--.
Gayn Erickson: Yes, yes. Yes, for sure for sure. Yes. And they shift towards non-SiC systems, too, which is pretty fun, right? So not -- we'll start seeing – we are forecasting some of the other areas. It is actually -- I mean, we really never were only about silicon carbide. It was just fantastic. We still love it. We still love that market. But the other markets are heating up and consuming much of every single day for us, candidly.
Jed Dorsheimer: Got it. And then -- what's your attach rate on the auto -- what do you expect the attach rate for automated aligners with the systems. Do you see that as --.
Gayn Erickson: Yes. That's -- we were actually just discussing that today. It's still a mix. Customers -- we have customers that are forecasting systems with manual aligners still. I personally love the automated aligner, but cost a little bit more. And you can have an automated aligner that is offline to feed multiple chambers or you can have an automated aligner that is integrated with the system. And then we have several customers that are forecasting fully integrated. Absolutely positively. Nobody can do anything. I don't want to touch it, lights out operations. So it is a mix going forward. And by the way, by contrast to two years ago, it was all manual, right? And I'd say, as we go forward, I feel like it should be more than half would be automated aligners, but kind of there's still some customers that are talking about manual aligners.
Jed Dorsheimer: Okay. And I'll just keep going with a couple more here, if you don't mind. What's the mix in -- for your silicon carbide visibility or expectations between 150 millimeter versus 200 millimeter?
Gayn Erickson: Well, we have a lot of 200-millimeter wafers that we're testing today. Vernon might tell you, we've tested -- anyone who's made a 200-millimeter silicon carbide wafer has been tested in this facility and most likely at their facility on our equipment, if that helps you with some hints. Of course, we haven't told you who they are. I think our data seems pretty consistent with what's out there. There are 200-millimeter wafers, they're coming out. It's still the dominant is the 150-millimeter wafers. We think that 200-millimeter will become more and more, particularly in 2025. And from our system, for people listening, the FOX system itself can test all size wafers, 4, 6, 8 and 12-inch or if you're so inclined 100, 150, 200 and 300-millimeter. The WaferPak can work with any of them. We can actually design -- in the same system, you can be testing 150-millimeter silicon carbide and 200-millimeter carbide. You just had to design the WaferPak contactor for the bigger wafer, okay, or the smaller wafer. So it's sort of a don't care to us, and we wouldn't have as much visibility, as a tool supplier who only sells 200 or 150 and they are make or break. The customers, it's probably not as dramatic for us. So it's coming. I would probably leave it to you guys to have better visibility of exactly when the cutover is.
Jed Dorsheimer: Got it. And then last question for me on -- historically, new customers have tended to purchase a FOX-NP for evaluation before switching over to the XP and we haven't seen many NPs leave the docks. So what are your expectations on some of the -- on the ramp of these new customers, both in the silicon carbide as well as in other applications in terms of how that cadence will look.
Gayn Erickson: I think 4 of the next 5 customers start with XPs. Yes. So it's interesting. So they're kind of skipping it in some cases. Now I could be wrong, folks, and we like -- I mean they co-exist. But yes, I mean I think Vernon's got some quotes out to people that just say, I'm just going right to an XP.
Jed Dorsheimer: Got it. Sorry, last one, promise. Is that because you do the testing -- you've been -- I know you have this program where you have that dedicated room where you do some in-house testing for your customers. Do you think that's what's shortened? Or do you think it's a greater comfort around that process?
Gayn Erickson: Both, honestly. But both for sure. I mean, we're testing their wafers. Some of those people, we've been testing it for, god knows, forever, right? We've done full characterization, process control. We've done qualifications, the whole thing. They kind of -- they're like, all right, skip it, let's go, we get it now. So there's a level of comfort and us testing the wafers has a lot to do with it.
Jed Dorsheimer: Appreciate all the color Gayn. Thanks.
Operator: [Operator Instructions] The next question comes from Matthew Winthrop with Equitable. Please proceed.
Matt Winthrop: Hi, Gayn. How are you sir.
Gayn Erickson: I’m good sir. Congratulations on all the excitement in your outlook. I had a quick question. I was looking at last quarter's release, and you always make a point of saying a customer or a large customer of ours, you [don't] (ph) usually mention names. And there is this sentence I've thought about where you say optical I/O or co-packaged optics for companies like NVIDIA, AMD and Intel, which have all had discussions, blah, blah. You never use names like that or haven't at least in years, and I know you're not alluding that they're a direct customer of yours, and you probably touched upon this with your meetings. But I was wondering a quarter later, can you expand on that? Is that from the new acquisition of Incal or what – thank you.
Gayn Erickson: Okay. So the context and what we've said in there for people that are listening in is one of the areas, and we -- in fact, on this conference call, this is probably the first time in many quarters, I didn't have a subsection on silicon photonics. so silicon photonics is more than just putting a laser on a piece of silicon. It is actually the entire photonics engine for communication. And folks like IBM and Intel have literally worked on this for 20 years to 30 years because silicon or electrical transmission line or electronics can only go so fast. There are physical limitations because atoms actually have mass to them. And we're within approximately a generation. We are running at, say, 200-gigabit transmission rates or 112 to -- in this range, you are at a point where you actually cannot make the electronics go any faster. So people have anticipated that the bandwidth requirements of communication and data would get to a point where you are bandwidth limited. You literally couldn't make the transmission line faster or smaller or what? The answer has always been fiber optic transmission or photonics-based. But the practicality and the cost of that had never really been coming together. Intel was one of the most visible companies who now, what six years ago, finally figured out to sort of on a wafer scale come out with a complete silicon photonics engine that would allow them to make the entire transceiver, if you will in a chip, okay? And that chip, they started by putting into fiber optic transceivers, fiber optic clips and data centers. They successfully did that because of the semiconductor performance, if you will. And there's other companies that are trying to do or doing similar types of things. Okay? And I'm not representing Intel, I'm just talking about what's public, Intel has since sold the fiber optic business, the actual transceiver business, but kept the semiconductor business, as what we believe from their public statements because the criticality of it of the need for it to go into co-packaged optics or to put it on processors and for chip-to-chip communication. When I started talking about this two years ago was barely even discussed, Intel hadn't even announced a product yet. But AMD and NVIDIA were both alluding to it in their road map. And so I've been kind of repeating where is it going? Because we've made some investments and partner with companies in anticipation of the potential for this widespread adoption of optical communication between chips. Way different than just the data center, right? At that time, for clarity, and it's kind of fun because you look back on it, the whole AI thing, this is the pre-ChatGPT. It wasn't clear where it was coming from. We were like, well maybe it's going to be in servers. It would certainly be in the data farms. What we've seen in the news now is folks like Intel, AMD and NVIDIA have talked about the massive data crunch challenge with now the AI, processing capability of these large language models in these clusters, how are you going to get this all done? And so we are now seeing road maps that talk about, well, what you do is you put this little optical I/O part in the chip and the chip-to-chip communication is not through an electrical transmission line, it is through an optical transmission line. That's it. So that's the name dropping. I'm not trying to say who and who is in our customer, but it's those three in particular are the ones, the big dogs that are going to drive the road map. And there -- if you go talk to market forecasters, they go -- there's no market for it or there isn't a market. Well, no, there isn't a market until NVIDIA, AMD or Intel make one and then there is a market. And then it will be massive. So we've just been trying to explain to people -- why did we make these investments? I mean, the customers bought the equipment from us. It's good margin for us. But will it take off and be a big market? You've got to ask those guys. I'm betting, I would bet and we have chosen as a company to bet, that market will take off. When exactly? I don't know, but things sure seem to be moving faster at a pace faster than historically. So I've got my fingers crossed, but we are ready and ready to go for this. We have the tools, and we're very excited about it. And that same 3,500-watt system that we developed for the optical AI is being leveraged for the actual AI processor, which is pretty cool.
Matt Winthrop: Terrific. So suffice it to say, this concept is not -- when you announced -- you're reaffirming guidance for the year, this is all maybe someday in the future. So this is a potential up five maybe --.
Gayn Erickson: I definitely say this. I mean, no one's asked me, I'll just -- I'll cough it up. We actually have very little silicon photonics revenue this fiscal year. I think we have a bunch of WaferPak and a bunch of design-related things. But I think currently, we have very little capacity. But we are -- we've had some requests and we've asked for lead times and things like that. We could actually ship a number of systems or upgrades of systems still in the fiscal year. it's the upside or downside of all the inventory we bought candidly, but we have the -- and the capacity of being able to build all these systems if a customer says, hey, could you ship me one in a month? The answer is yes. There's pros and cons to that, right? That means they can wait a month to ask, right? But I feel really good about our position.
Matt Winthrop: Okay. Thank you sir.
Gayn Erickson: Thank you.
Operator: [Operator Instructions] Okay. It looks like we have no further questions in queue. You’re very welcome. I'd like to turn it back to management for closing remarks.
Gayn Erickson: All right. Do you think we missed anything, Chris, we may cover. Okay. So folks, thank you very much. I really appreciate it for people joining in. And as always, if you're near, we always invite you to come by. It's a little hectic and messy around here right now as we're doing some basic construction and things like that. But we still have customers coming through. We've -- I think there are three or four this week. We have another one tomorrow. So we'll invite you in if you happen to be in the Silicon Valley. We'd love to host you -- if not – maybe we’ll see at one of the trade shows or the investor conferences, and we look forward to giving you an update on the quarter as things go at the next quarter event. Take care.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.